Operator: Good day and welcome to the Pacific Premier Bancorp Fourth Quarter 2020 Conference Call. All participants will be in listen-only mode.  Please note this event is being recorded. I would now like to turn the conference over to Steve Gardner, Chairman, President and CEO. Please go ahead.
Steve Gardner: Thank you, Elie. Good morning, everyone. I appreciate you joining us today. As you are all aware, earlier this morning we released our earnings report for the fourth quarter of 2020. We have also published an updated investor presentation that we will be speaking to you today. If you have not done so already, we would encourage you to visit our Investor Relations website to download a copy of the presentation. In terms of our call today Ron and I will present our prepared remarks and then we will open up the call to questions. I note that in our earnings release and investor presentation that we have our safe harbor statement relative to the forward-looking comments, which have been expanded, and I would encourage all of you to read through those carefully, particularly in light of the current COVID-19 pandemic and how it may impact our business, financial condition and results of operations.
Ronald Nicolas: Thanks, Steve, and good morning. I'll pick up on Slide 13, which illustrates the strength of our performance. As illustrated here, we delivered a 48.5% efficiency ratio and a pre-provision net revenue return on average assets of 1.92%. Our continued strong operating performance was demonstrated by the increase in net interest income and our lower non-interest expense excluding merger-related costs. Our pre-provision net revenue continues to generate significant capital that supports our growth and capital management initiatives. On Slide 14 we highlight the factors affecting our net interest margin, which was 3.61% in the fourth quarter, a seven basis point increase from the prior quarter and our core net interest margin came in at 3.32%, up nine basis points. As highlighted with our attribution waterfall chart the largest drivers of the increase were a lower cost of funds and higher fees due primarily to elevated loan prepayments. And our cost of deposits decreased six basis points to 0.14% driven by the combination of lower repricing on interest-bearing deposits and growth in our non-interest bearing deposits. As highlighted on Slide 15, our non-interest expense during the second half of 2020 excluding merger-related costs extrapolates to $379 million annually, less than the $390 million expense run rate we estimated at the announcement of the Opus transaction. The remaining cost savings from the acquisition were fully realized during the fourth quarter of 2020 as post conversion actions have now been completed, and as a result our headcount ended the quarter down 59 at 1,477. During the fourth quarter, in recognition of these tremendous accomplishments of the entire team throughout the pandemic, we paid all employees other than senior executive managers a special appreciation bonus, which totaled $2.4 million. Our total loss absorbing capacity of $382 million or 2.86% of loans held for investment remains very strong as highlighted on Slide 16. This is comprised of an allowance for credit losses of $268 million plus the remaining fair-value discount on acquired loans of $114 million. Our allowance for loans held for investment decreased from the prior quarter, although the ratio of ACL to loans remained above 2%. The key drivers of the change were overall lower loan balances as well as the mix of the loan portfolio. Conversely, our ACL for off-balance sheet commitments increased from the prior quarter driven by increases in unfunded commitments as well as composition.
Steve Gardner: Very good. I'm not going to spend a lot of time on Slides 20 through 24, which provide a lot of detail around credit trends. Our loan portfolio is well diversified and performing at a high level. With the acquisition of Opus multifamily loans became our largest concentration. This asset classes historically been one of the best performing in terms of risk adjusted returns only in part to the housing shortage in the Western US. In the short and medium-term, we expect multifamily will likely make up a significant portion of the portfolio mix. Our asset quality metrics have remained strong throughout this volatile period. Delinquent loans, non-performing assets, and classified assets all remain at very low levels and generally strengthened over the fourth quarter. COVID-19 temporary loan modifications declined significantly during the fourth quarter of 0.6% of loans. And there were no extensions of previously modified loans in process as of year-end. On Slides 26 through 30, we have included information to highlight some key areas related to our focus on social, environmental and governance matters. Our culture is one that is consistently pursuing continuous improvement throughout the company including ESG. On Slide 27, we highlight our commitment to corporate responsibility. We have a long-standing track record of accomplishment of investing our time and capital to help strengthen our communities and support organizations that foster diversity and economic inclusion. During 2020, we began developing a framework for evaluating the environmental impact of our loan standards and assessing the risk within our loan portfolio related to climate change. We are also evaluating the adoption of additional disclosure around sustainability accounting standards and methodologies.
Operator:  Our first question today comes from Gary Tenner with D.A. Davidson.
Gary Tenner: I had a couple of questions. Good morning. I had a couple of questions relates to 2021 loan growth. And I guess you talked about the pipeline strengthening quite a bit. I'm just wondering as you look out into the year or the early part of the year, what loan segments you see as offering most opportunity for your bank to grow loans and generate production?
Steve Gardner: I think Gary it's really across the board in all of the various categories and lines of business that we're in. As we entered this year pipeline as I mentioned has never been stronger little over $1 billion. And our capabilities and the people that we've added to the organization all go through the Opus acquisition and over the last 12 to 18 months, we're really beginning to start to see that benefit. So I would say it's across all of our various categories.
Gary Tenner: And then regarding the expense outlook I appreciated that the 2.4 million of kind of one-time comp in the fourth quarter, the special bonuses, and I think you noted that kind of fourth quarter or end of the year all OPV cost savings were recognized. So as you think of kind of the base kind of stripped out, operating expense going into the first quarter run where would you kind of put that number?
Steve Gardner: Ron, you want to go ahead and respond?
Ronald Nicolas: Sure, Steve. Gary, obviously, there is a lot of moving parts to that, but right now we're looking plus or minus right in that $94 million range, as we sit here today with NIE that's, if you will, excluding any extraordinary charges that we might incur, but the staffing is at a good level right now as we enter the year will have higher payroll taxes, of course, we did have the special bonus, but as you saw in our press release, we also had the benefit of some higher originations with our loan deferrals. So kind of net-net I think it's in that 94 again plus or minus range on a quarterly basis 94 million.
Gary Tenner: And then if I could just ask one more question. With regard to M&A over year since you closed OPB obviously converted it earlier back in the fall. Just thoughts around the M&A environment obviously your stock has work, you've got a bit of currency to use potentially in a deal. So I'm just curious what your thoughts are there?
Steve Gardner: Well we've talked about this Gary that obviously COVID has accelerated a lot of large macro trends that had been going on in the economy and in financial services in particular the trend towards consolidation that has only I think that pressure has only increased in this low rate environment. And so we're actively reaching out on as we always are, we're going to be disciplined around the process and we certainly are always interested and talking to folks, where we can partner with and ultimately generate better returns for our shareholders on a combined basis then may be either one of us would do individually. And then also looking at creating an institution that becomes even more attractive to a potential acquirers down the road. Those are the factors are always part of the process and enter our mind as we're talking to folks.
Operator: Our next question comes from Matthew Clark with Piper Sandler.
Matthew Clark: On the core NIM 332 you still have, obviously, about much lower loan to deposit ratio than you've had in the past and you've got a pipeline. I guess how quickly might you be able to remix the assets to help defend the margin going forward and or do we, should we expect kind of a step down here with maybe a little less prepay activity to start the year before again grinding higher?
Steve Gardner: Yes, I think, that's probably accurate Matt in the fact that we were hopeful, we'll see a little bit slower run rate on the payoffs go. As I mentioned in the prepared comments, we expect, we don't expect to do loan sales here and we'll just see. The unknown is really is on the payoffs. We like what we're seeing around demand in most of our markets again the talent that we brought onto the organization. And then maybe some of the dislocations you're seeing at some of the largest organizations make us optimistic, at the same time, we are seeing some banks out there offering rates that make us scratch our head and is just not where we're going to go, we're going to be disciplined around the pricing. So as it all comes together we'll see where it shakes out on the margin. And then I think as you accurately point out the ability to potentially remix the balance sheet and increase loan to deposit ratio here over time. We're certainly encouraged with the improvement in the vaccine rollout here and likely seeing some light at the end of the tunnel in the next several months as it relates to the pandemic and its impact on the economy.
Matthew Clark: Okay. And then just on gain on sale, it was fairly muted this quarter, is there an expectation that you know SBA production will - that volume and related sales will start to come back here in the new year?
Steve Gardner: Maybe in the second half of the year - SBA demand is somewhat muted at the moment.
Matthew Clark: And then on the ACL at 2.02%. In a post CECL world how low would you let that go assuming the economy continues to recover?
Steve Gardner: It's hard to say. There are a number of factors that obviously play into the model. And in addition to that, you have to give consideration to the fair value discount that we have on the balance sheet, so that the total loss absorbing capacity of 2.86 seems to be at this point very healthy given the performance of the portfolio and the overall trends and asset quality.
Matthew Clark: And then last one from me. Just on the buyback - is it realistic to assume you could do some buyback here at this level. I know you've got a pretty aggressive last time around 1.6 times tangible, but upwards of two times. I don't know if you still have the same appetite?
Steve Gardner: I think the stock is pretty attractive given our outlook here. And I'd certainly expect us to come - we'll be looking at it closely.
Operator: Our next question comes from Jackie Bohlen with KBW.
Jackie Bohlen: I was just curious, Steve, what your thoughts are on the next round of PPP and if you plan to be a participant in that?
Steve Gardner: We don't plan to be a direct participant. We're not seeing significant demand. We have a relationship with the folks that we had sold the PPP loans to back during the summer. They have a very nice platform there as you recall a non-depository. So any clients that we have that might want to look into that or avail themselves of the program we're referring over to them.
Jackie Bohlen: That's really helpful to know. And then just looking specifically at Slide 17 and the mix of deposit sources that you have. And I know that there's obviously a lot of liquidity flowing around now and potentially more stimulus to come. Just how do you think about the composition of your deposits were faced as you roll through this year and through next year particularly in light of the upcoming Pacific Premier Trust conversion and some of the other strategic initiatives you might have going on?
Steve Gardner: I think that where we ended the year pretty stable what the high cost deposits that we had, we ran off. We have a small amount of wholesale brokered certificates that will likely run off. Also at a minimum we'll reprice those down. We're pleased with the mix. However we're never satisfied, we want to continue to push noninterest bearing up. We've had it much higher in the past that where we sit today is part of a function of the acquisition of Opus. So over time, we expect to further improve that, but could built on good solid relationships with clients. And so that doesn't come over night, but we're satisfied - or rather we're pleased with where we are, but we're not, we're never satisfied. There is clearly a room for us to improve in all of our lines of business and throughout the organization.
Jackie Bohlen: And does the pending conversion through Pacific Premier Trust. Do you view that primarily as a business generator and - add to noninterest income or could that also help you move some of the deposits in a matter you wish?
Steve Gardner: As we grow that business we expect higher levels of fee income more so in the second half of the year as well as potentially larger deposit balances as their assets under custody expand and grow as well.
Jackie Bohlen: So a double benefit from that then. Okay, great, thank you very much.
Steve Gardner: Certainly.
Operator: Our next question comes from Andrew Terrell with Stephens.
Andrew Terrell: Yes, I just wanted to start on the margin. It seems like the bulk of the deposit repricing is kind of behind us, but I did want to ask about just overall the optionality on the funding base. I think there are some higher price debt that was acquired from Opus that can be redeemed this year and just given how liquidity is trending and maybe growth is shaping up? Do you think that's something you look to redeem and are there any further kind of levers you could look to pull on the liability side of the balance sheet?
Steve Gardner: I think that's accurate. We'll look to see and give consideration to that sub debt that is at the bank level and take it into consideration in our overall capital management and planning. I think you're right on the deposit side there isn't a lot of room to go lower at 14 basis points, but we're going to continue to manage that closely and in particular where we can improve the mix by increasing the non-interest bearing. We'll pick up some benefit there.
Andrew Terrell: Understood. I appreciate it. I'm trying to understand just kind of the duration of the CD premium amortization as well. Can you remind us how long of a life this has or maybe what the remaining balances here that needs to be amortized. Just trying to think about how long this presents kind of a tailwind to the stated margin versus the core?
Steve Gardner: Sure. Why don't we get that - why don't we get that information to you offline or that may not be of interest to other listeners. We're happy to provide that to you. Unless, Ron, you've got it right there.
Ronald Nicolas: Yes, Steve, I could just comment, just very briefly on it, and then we can always have a follow-up, Andrew. It's an average of seven, eight years typically obviously Opus is being the most fresh, but we've got CD amortization that goes back with a few prior acquisitions already in motion. So what you're seeing is a little bit of a weighted average impact that's going on now. It probably has an average life of about five years. All-in five, six years, all-in.
Operator: And our next question comes from David Feaster with Raymond James.
David Feaster: I just wanted to circle back to the origination question. I'm just curious I guess from a geographic perspective, where are you seeing strength across your footprint, and maybe at a high level, what do you think the organic loan production capacity of the combined institution is in light of the hires that you've made and if I'm just reading between the lines, it sounds like loan balances probably troughed here or just curious on all those topics what you're thinking?
Steve Gardner: All right. Sure. So I think that the strength that we're seeing in most of our markets is really it began I think in the fourth quarter as we were talking to business owners and investors as they were getting greater clarity on the economy, the impact of the vaccine, getting past the election and some of these uncertainties that is where some of the optimism began to develop. As far as - and we're seeing that again in most of the markets and the clients that we're talking with, obviously, there are pockets here and there where they're still dealing with significant amount of the lockdowns and impacts of the pandemic, but again I think that we all have a little bit better clarity today. As far as the level of production we'll see - we'll continue to get better and the team continues to create synergies amongst themselves and then also with different lines of business in the bank. And so we're really seeing that come together nicely. As far as the net loan growth we'll see how things go as far as amortization, paydowns and early payoffs and - again the utilization rates from some of the businesses are - they are still at very low levels. So as economic activity picks up, we're hopeful that we'll see some of those utilization rates potentially increases well.
David Feaster: And then I'm just curious what you're seeing on the hiring front. You've touched on it a bit some of the issues in the market, but I'm just curious now that the integration in the rear view, the strength of the combined franchise is clearly apparent. Are you seeing more opportunities for new lender hires?
Steve Gardner: But we're talking to folks I think that there's been some struggles at some of the largest organizations. And I think that there is always a couple of folks that you lose that you don't want to during these acquisitions and what's been nice is to hear them reach back out and would like to rejoin the organization. So we're assessing all of that. I think also to simply as we continue to grow and expand and lenders see the consistency and how we deliver for our clients. They're naturally becoming attracted. Do wanting to be part of our team. So all of those things are playing into it.
David Feaster: And then just on the franchise segment. Just curious, your thoughts there, what you're seeing. It looks like originations accelerated. Just curious on that segment your appetite for new credit and any trends that you're seeing?
Steve Gardner: Yes I think that book of business performed exceedingly well. We certainly when we acquired that franchise lending business - it's certainly a demonstrated that it was recessionary resistant based on decades of information. I don't think that anybody knew exactly how things would play out in a pandemic environment, but that again that portfolio performed very well and continues too. We have long-standing deep relationships with franchisees and many of the key franchisors and so we're going to continue to leverage that and build that business as we have in the past.
Operator:  Our next question will come from Tim Coffey with Janney.
Tim Coffey: Steve as you look at kind of the deferments that you have still on modifications. It's not a big number, but given where your reserves are, you have options, are you - is your outlook on those to kind of let them cure themselves?
Steve Gardner: We'll see we deal with each client individually and we'll see, as I said, we don't expect much in the layout of loan sales moving forward, but that is always an arrow in our quiver, if you will, that we've had for a long period of time. So we're working with each one of the clients and see how they progress from here.
Tim Coffey: And then switching to kind of the franchise non real estate secured loans. Are you - can you kind of provide some color on what happened there this quarter? Was it just kind of a change in focus or may be a rationalization of exposure?
Steve Gardner: No. I just got done talking about franchise and the fact that we like that business, we just naturally have seen some pay downs in that business.
Tim Coffey: Okay. So the non real estate secured is leaving the pay downs?
Steve Gardner: I'm not sure specifically. Tim, what's the point?
Tim Coffey: I'm just asking. I'm just trying to get some color on why the - why those loans were down more than the others?
Steve Gardner: That would be paydowns where borrowers made early payments on their loans and either paid-down or paid-off credit.
Tim Coffey: And then there is a - question on M&A given that your footprint is much bigger than it has been before. Are you interested in doing out of market - our adjacent market deals more than you're doing end market deals or are you kind of agnostic?
Steve Gardner: We've always considered geographic expansion as a benefit. We are going back to, if you look at, think about the Heritage Oaks acquisition expanded us into the Central Coast where we had not been before. The Grandpoint acquisition expanded us into markets in Arizona and into the Pacific Northwest albeit on a relatively small basis. And then the franchise lending the HOA lines of business, which are nationwide and Pacific Premier Trust and Opus those expanded us geographically. So we are certainly open to geographic expansion where it makes sense. And as I've shared in the past whether it's California, the Pacific Northwest along the Rocky Mountain range or into various parts of Texas. We think certainly of Dallas and how many of those markets are very attractive.
Operator: This concludes our question-and-answer session. And I would like to turn the call back over to Steve Gardner for any closing remarks.
Steve Gardner: Thank you and thank you all for joining us today. Again if you have additional questions, please do not hesitate to contact Ron or myself directly.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.